Operator: Good afternoon. My name is Rachel and I will be your conference operator. I would like to welcome everyone to the Xilinx Fourth Quarter Fiscal Year 2014 Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions). I would now like to turn the call over to Rick Muscha. Thank you. Mr. Muscha, you may begin your conference.
Rick Muscha: Thank you, and good afternoon. With me are Moshe Gavrielov, CEO; and Jon Olson, CFO. We will provide a financial and business review of the March quarter and then we’ll open the call for questions. Let me remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information as currently available and actual results may differ materially. We refer you to documents the company files with the SEC including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This conference call is open to all and is being webcast live. It could be accessed from our Xilinx Investor Relations website. Let me now turn the call over to Jon Olson.
Jon Olson: Thank you, Rick. Fiscal 2014 was a year marked by the phenomenal success of our 28-nanometer products which exceeded $380 million in sales, easily surpassing our revised target of $350 million. For the company as a whole, fiscal year sales were a record $2.4 billion increasing 10% from the prior fiscal year and enabling Xilinx to gain PLD segment share for the third consecutive fiscal year. We also achieved a record gross margin of 68.8% in fiscal 2014, up from 66% in the prior year. Operating margin also improved markedly to 31.4%, up from 26.8% in the prior fiscal year. Finally Xilinx continued to demonstrate a strong commitment to returning shareholder value through dividend increase and repurchase activity. We recently increased the quarterly dividend by $0.04 a share to $0.29 a share per quarter. In the fiscal year 2014, we paid a record $267 million in dividend and repurchased 5.2 million shares for $242 million. Additionally more favorable financial market conditions and a continued strong credit rating enabled Xilinx to issue $1 billion of senior notes using the proceeds to redeem our 2007 convertible notes. Turning now, I would like to now turn to discussion of the March quarter. Xilinx sales were $618 million, up 5% and at the high end of our forecasted range. 28-nanometer sales increased over 40% sequentially driven by particularly strong wireless activity in China. Kintex remains the largest product at the 28-nanometer node but sales growth from Virtex and Artix were also particularly strong. Zynq sales also increased after more than doubling last quarter. Sales from communications and data center were stronger than anticipated in the March quarter, both wired and wireless sales increased during the quarter with wireless sales posting a new record and wired sales at its highest level in six quarters. China LTE deployments were the most significant factor contributing to the record wireless revenue, but we also saw growth in other geographies during the quarter. Within wired communications, metro, access and data center applications were particularly strong. Virtex-7 design began to ramp during the quarter in area such as OTN access and SSDs. Infrastructure upgrades 100 gig and 400 gig and increased bandwidth requirements are driving many of these applications. Test and measurement business increased as forecasted. However, industrial and A&D sales were weaker than anticipated due primarily to weakness from a couple of large customers in the industrial and security area, as well as a broad-based weakness across our smaller account. Lastly, broadcast, consumer and automotive were down as forecasted related primarily to an expected decline in consumer business. Gross margin was 67.6% for the quarter, 40 basis points lower than forecasted entirely driven by customer mix. Operating expenses were $228 million including amortization of $2.5 million, slightly higher than anticipated due to stock-based compensation associated with the higher stock price during the quarter. In the March quarter we recorded a loss of approximately $10 million or $0.03 per diluted share associated with the redemption of our convertible debt. This one-time loss was related to the accounting treatment of the early call of the 2007 convertible notes. As a result of this loss, other income and expense was approximately $7 million higher than planned. Net income for the quarter was $156 million or $0.53 per diluted share including a $0.03 per diluted share impact associated with the previously mentioned debt redemption loss. Operating cash flow for the March quarter was $189 million before $14 million in CapEx during the quarter. Diluted shares for the quarter were 295 million shares. This was 6 million shares more than forecasted due entirely to the impact of the higher stock price. There was a 21.7 million share dilutive effect from our convertible notes. The impact of the 2007 debt redemption will not be fully reflected in the diluted share count until Q1 of FY15. For questions related to the dilution associated with our convertibles, please visit our Investor Relations website at www.investor.xilinx.com. We repurchased 1.4 million shares for $75 million during the quarter and 5.2 million shares for $242 million during the fiscal year. Let me now comment on the balance sheet. Cash and investments decreased $96 million to approximately $3.6 billion. We have $600 million in convertible debt and $1 billion in fixed rate debt resulting in a net cash position of approximately $2 billion. Inventory dollars at Xilinx increased by $27 million sequentially. Combined inventory days at Xilinx and distribution were 115 days, up from a 114 days in the prior quarter. The growth in inventory is related to increasing safety stock on new products in anticipation of higher future demand. We expect inventory to increase again in Q1, FY15 as we anticipate strong demand for our new products in future quarters. Let me now turn to the discussion of guidance for the June quarter of fiscal year ‘15. Our backlog heading into the quarter is up double-digit sequentially, driven primarily by a few large wireless customers in the channel business. Coming off an exceptionally strong March quarter, we expect wireless to remain at these approximate record levels in the quarter, driven by continued China LTE activity. We also expect wired communications to be approximately flat as declines from a couple of large customers are offset by strength from enterprise, OTM and data center application. We expect the industrial and aerospace and defense segment to be approximately flat with increases from ISM offset by a decrease in aerospace and defense. Lastly, we expect broadcast, consumer and automotive to be up, driven by increases from AVB and automotive. We expect the new products category to continue to grow. Mainstream products are expected to be approximately flat and base products are expected to decline. As a result, we’re expecting total sales to be up 0% to 4% sequentially. The midpoint of this guidance is predicated on turns rate of approximately 50%. The lower than typical turns rate is driven by a strong beginning backlog from wireless and channel customers. Gross margin is expected to be approximately 68%. Operating expenses in the June quarter are expected to be approximately $220 million, including $2.5 million of amortization of acquisition-related intangibles. Other income and expense for the June quarter is expected to be a net expense of approximately $8 million. The share count is expected to be approximately 286 million shares. The lower share count reflects a reduction of 8.8 million shares associated with the redemption of the convertible. The tax rate for the June quarter is expected to be between 13% and 14%. Let me now turn the call over to Moshe.
Moshe Gavrielov: Good afternoon to you, all. I am gratified that Xilinx delivered both record revenue and record gross margin in fiscal year 2014. 10% growth in annual sales was driven by almost [for true claim] of our 28-nanometer sales. These exceeded $380 million for the year [completely] surpassing, both our initial forecast of $250 million and our recently revised target of $350 million. Similarly, our sequential growth in the March quarter was driven by exceptionally strong sales for our 28-nanometer product generation. This increased by more than 40% sequentially exceeding $140 million, both 40 and 28-nanometer product families achieved new record level. The growth was led by both our high performance Virtex-7 and our Kintex families with additional significant contribution from a high volume Artix-7 family from Zynq, the industry’s first (inaudible). Phenomenal success of our 28-nanometer product generation has enabled us to capture approximately 70% market share (inaudible) and grow our total PLD market share for the third consecutive fiscal year. In June quarter, we expect 28-nanometer sales to continue to grow driven by broad-based strength from all of end markets. We discussed at our Analyst Day in February, we have targeted 28-nanometer sales of over $700 million in fiscal year 2015. Our proven formula of success which has been undeniably delivered very broadly at 28-nanometer to ready yielding similar results to 20-nanometers with the UltraScale family. Again shipping functional sample of Kintex UltraScale the industry’s first 20-nanometer [design] in November these functional devices based on key customer feedback are extending our time to market lead to at least six months. Recently we have already both received and demonstrated functioning devices in-house for the first Virtex UltraScale product, this is the industry’s only high end family offering of 20-nanometer. With $700 million of revenue projected for 28-nanometer combined with technology leadership with total execution already demonstrated at 20-nanometer fiscal year 2015 promises to be an exciting year with even more share gain in both 86 ASPs and (inaudible). We now turn the call back to the operator for (inaudible) Q&A session.
Operator: (Operator Instructions). The first question is from the line of John Pitzer with Credit Suisse. Your line is open.
John Pitzer - Credit Suisse: Yes, good afternoon, guys and congratulations. Jon thanks for the color by end market for the June quarter expectations. I am just kind of curious relative to the China LTE build out do you think that this is a (inaudible) before reacceleration, is this sort of a peak level but a sustainable peak? And if you can help us understand what your level of business, what do you think that translates into quarterly base station deployments in China at current levels? Thank you.
Jon Olson: Yes, sure John. The -- it’s a several points I’d like to make about that. So clearly we had a really, really strong performance this quarter and this is driven by a very broad deployment by China Mobile, as well as the beginning of China Telecom deployments of the TDE LTE standard. And as best as we can tell I have a hard time giving you a quarterly deployment level, but we do believe that by the end of calendar ‘14 the China Mobile will have deployed upto 500,000 base stations in total at that point in time, so that’s a 500,000 since the beginning of their deployment in calendar ‘13 middle of ‘13 going forward to get to 500 million, excuse me 500,000 base stations. And China Telecom will be somewhere between a 100,000 and 200,000 base stations by the end of ‘14. So, there is still a lot of work and deployment left to be done the rest of the year just on the TDE standard. What hasn’t kicked in yet, really is the FDD standard and right now our best estimate of that is for the second half of this year sometime and I do believe that that’s an additive to the ramp that’s going on, on the TDE area, so while I am always hesitant to forecast where peaks and plateaus are in the business that has this kind of variability. I think there still is a lot of positive trends left for us throughout this year and into next year with respect to rolling out those standards.
John Pitzer - Credit Suisse: And then John when you look at the OpEx guidance for the fiscal first quarter and compare that to what the guidance you guys gave for the fiscal year at the Analyst Day, it implies a relatively steep ramp. I am just kind of curious, is that a statement about your expectation for future revenue growth as the fiscal year unfolds or are there sort of fixed cost that come into the model that we should be thinking about.
Jon Olson: There really are not any changes from what we’ve said, at the Investor Day relative to our expectations on spending for the year or revenue or anything else quite frankly. We think we're on track to deliver what we’ve said, the spending decline quarter-on-quarter really is more of a reflection of lower level of tape-outs in the June quarter than there were in March and that still be increasing as we go through the year, as we continue to more rapidly tape-out 20 nanometer now that we have the first two parts Kintex and Virtex taped out and well on their way to customers. And we also have our annual focal activities, so salary increases going on beginning in the June quarter. So we expect to hit the numbers we’ve said which were R&D between 530 and 550 and SG&A between 380 and 400 for the year those are our estimates. And so you will see an increase in the June quarter of spending over those two factors, the focal salary increases as well as the tape-outs increasing.
John Pitzer - Credit Suisse: Perfect thanks guys.
Moshe Gavrielov: Next question?
Operator: Your next question is from the line of Romit Shah with Nomura Securities. Your line is open.
Jon Olson: Hey Romit, are you there? I guess we should move on then. 
Operator: Your next question is from the line of Vivek Arya with Bank of America Merrill Lynch. Your line is open.
Vivek Arya - Bank of America Merrill Lynch: Thank you for taking my question. Jon, how should we think about the gross margin trajectory this year? If communications continues to drive the growth should we be modeling gross margins closer to the 68% level or do you think it can get back to sort of closer to the 69% level as we go through the next couple of quarters.
Jon Olson: Yes, Vivek, we still are in the 68% to 70% range. We do believe gross margin will increase, gross margin percent will increase as we go through the year. What we're seeing right now is this disproportionate mix issue towards large customers and quite frankly towards the wireless business. And as two things happen both cost reductions that are continuing to kick in as we go throughout the year and a mix as ISM and A&D customers are comeback throughout the year and some seasonal and some individual customers issues going on right now. Those comeback, we expect gross margins to increase from the current forecast of 68%, as we go throughout the year. So, again nothing different than what we said on the Investor Day.
Vivek Arya - Bank of America Merrill Lynch: Great. And maybe as a follow up for Moshe or Jon. You guys had a very strong year and fiscal ‘14 right growing double digit well ahead of your competitor. I'm wondering how much of that is share gain versus just the underlying PLD market sort of secular growth. And that I'm going with that as how should we just conceptually think about fiscal ‘15, is there anything that prevents you from going at a similar pace for fiscal ‘15 when you look at just the PLD initiative that you have spoken about and probably continued market share gains?
Moshe Gavrielov: Well, if you think that we've projected 8% to 12%. We believe that when we have a virtuous product cycle as we clearly have now that enables us to shoot for the higher element at any point the compound growth is 8% to 12%. As we’ve said before, we have now delivered it one time in a row and we are delighted with actually meeting that projection. And we’re driving hard to continue, it’s difficult for us to project what the rest of the companies in the area will do, but we feel very confident with our product offering.
Jon Olson: I’ll just add one thing, we talked at the Investor Day and we have to talk about this for sometime our progress against ASSP and ASICs designs particularly in communication and we are now starting to see those contribute to revenue. So while share gains certainly contribute to our growth in 2014, I do think we’re earning against our (inaudible) competitor. I do think that we’ll continue to be able to grow the top-line as we penetrate some of those designs more fully from these alternative devices.
Vivek Arya - Bank of America Merrill Lynch: Okay. Thank you.
Operator: Your next question is from the line of Blayne Curtis with Barclays Capital. Your line is open.
Chris Hemmelgarn - Barclays Capital: Thanks very much for taking my question. This is Chris Hemmelgarn on for Blayne. Just first one to follow-up on the pace of China LTE rollout you’re seeing. We’ve kind heard some rumors that there may be some extra ordering from some of the related, some of the bills, I am just curious if you guys are seeing that dynamic at all?
Moshe Gavrielov: We don’t really think we’re seeing anything that would be in design of double ordering or whatever, and most of it’s because we are the high valued part at the center of the universal radio [cards] in particular and then also on the baseband and backhaul. So we have really, really close logistics conversations with the primary OEMs there and we don’t think there is a pattern going on. We have talked about forecast variability, but they don’t always know exactly how many base stations they need to deliver every quarter and then they order more or less in any given quarter. So, we are not really seeing anything I would say radically different in the short-term ordering patterns, meaning within the 60 to 90 day horizon that would lead us to believe that there is that kind of activity going on that you asked about.
Chris Hemmelgarn - Barclays Capital: That’s great. Thanks very much. And then just as a quick follow-up your main competitor had an announcement out about their 14-nanometer efforts at Intel today, just wondering if you could tell us a little more about timing of 16-nanometer plus for you guys just kind of when you expect that to hit and remind us of your comments on I guess relative scale versus Intel 14-nanometer?
Moshe Gavrielov: So, we are making tremendous progress with TSMC, we are delighted with their [16 FS] plus this has enhanced transistor performance and -- best transistor performance in that entire generation of products. So, we are working very closely with them. We believe that the combination of elements which we have is going back and in fact foundry is one element to that that the superior architecture socket software and the flawless execution that we have delivered -- we would like to continue to have leadership as we have demonstrated at 28 and 20. And so, we are continuing to make progress on 16 and there is no need for us to say more because at this point in time, we will deliver that technology as we’ve predicted we expect to take out this year and to simplify it in 2015.
Chris Hemmelgarn - Barclays Capital: Thank you very much guys.
Moshe Gavrielov: Thanks.
Operator: Your next question is from the line of Tristan Gerra with Robert W. Baird & Company. Your line is open.
Tristan Gerra - Robert W. Baird & Company: Hi, good afternoon. Given your commentary about the China mobile base station count by year-end, does that imply that orders will continue steadily for the second half of the calendar year that will decline as a percent of mix? And also how do we reconcile the backlog entering the quarter with the revenue guidance; do you expect a softening at the end of the quarter?
Jon Olson: So, the order pattern again will undoubtedly have some variability of course throughout the year. But we are expecting and I’ll say the longer-term forecasting beyond a quarter from our large customers does show very solid numbers throughout the year. So, whether there is going to be growth every quarter or whatever, but the second half of the year does look reasonable to us vis-à-vis the first half. So, I think this is about deploying all these base stations been going silent this year doesn’t appear that’s the pattern if that’s the underlying question you’re asking. And then reconciling the backlog I think is your question, because there was a little bit of a surprise to us relative to the channel more or so than the large wireless customers, because they certainly are trying to make sure that they give their fair share of our FPGA supply by placing orders earlier than they normally would have. So that is I would say the leading reason backlog is up so much. And so that is contributing to driving this lower turns number, but also the channel customers. So, we had a softer industrial ISM business in the March quarter than anticipated. And so there was an inventory adjustment going on by some of our customers and they jumped in very quickly to order in and purchase more put more on the books early in the quarter. So I’m not expecting a softer end of the quarter necessarily as a result of that backlog, it’s really recognition because we have some specific classes of customers that put orders in the books earlier. If you go back and then look at how do we look after the first few weeks, we’re still more or less in a good backlog position. We are, but it is -- I do want to point out that some of the orders didn’t come in earlier than they normally would have been in a given quarter.
Tristan Gerra - Robert W. Baird & Company: Okay. That’s very useful. And then a quick follow-up, how should we compare the performance of Kintex-7 with Virtex-6? And in other words, is there really a performance incentive for OEMs to keep using Virtex as you make progress with (inaudible) node and the mid one product of (inaudible) node could be equal or exceed that of high-end of previous nodes?
Moshe Gavrielov: Well, that’s a good question and it’s difficult to give one answer, but let me try to crack at it. As we move from generation to generation then typically the high-end of the previous generation is somewhat covered not totally covered by the mid range of the existing generation. And what you can get is similar performance at the attractive power level and in some cases the lower cost. So, generally speaking that trend does happen, but it’s not a perfect replacement and it's not that you can take anything which would have done in a Virtex-6 and replace it with a Kintex-7. But it does tend to intrude and that trend from generation to generation does tend to repeat itself. So, what use to be the most aggressive or the largest device in one generation tends to be competing against the mid range of the next generation generally, but not fully. And then if you look at two generation gap then for sure, you can see that the mid-range tends more than replace everything you had in the high-end of the previous one.
Jon Olson: I’ll just add one more quick thing to that. So, we're winning in some of these ASSP opportunities in the wireless communication area, they need faster serial connectivity and more serial connectivity range and that’s what we’re being able to integrate, lots of capability into single devices or a couple of devices and that's all Virtex class capability that has been with Kintex. Kintex is designed to do so. We'd stretch the high-end to grow that available market. And so Virtex definitely has more life and is not being replaced for Kintex.
Moshe Gavrielov: So in order words, the [fan] of the high-end that expanded through replacing (inaudible) I think that’s reporting point. So it's not -- it gets cannibalized and -- actually can grow significantly, it replaces different devices.
Rick Muscha: Next question please?
Tristan Gerra - Robert W. Baird & Company: Thank you.
Operator: You next question is from the line of Ambrish Srivastava with BMO Capital Markets. Your line is open.
Ambrish Srivastava - BMO Capital Markets: Hi, thank you very much. Jon and Moshe, we get so all of us are guilty I said we just get caught up in the 4G, can you help us understand what’s the 3G business doing for you on a year-over-year basis or any guide post you could provide? And where I am coming from is that yes 4G is growing sounds like wireless especially China is doing well. But is it being offset to some extent by the decline in 3G and then I have a quick follow-up also?
Jon Olson: Well clearly, going from generation to generation as the 4G technology gets introduced to more and more geographies, there is a replacement effect that goes on naturally from 3G. But quite frankly, we still have a very, very healthy 3G business. Even in China, in addition to what’s going on in 4G and clearly in Europe as GSM deployment and continuing to build out existing base stations for capacity reasons. And then broadly on a worldwide basis in those countries, they haven’t started the deployment of 4G, we still have a very, very healthy business that is not related to 4G generation. So, the answer to your question kind of depends, yes overtime it is replacing 3G, 4G to some extent, but these technologies tend to live on for a very long time and have a very long tail. So, it isn’t just [foreign] replacement on a quarterly basis.
Ambrish Srivastava - BMO Capital Markets: So you don’t have any metric for us in terms of what is (inaudible)?
Jon Olson: I don’t really have that. I don’t have that on my finger tips because we actually haven’t looked at that, we look at it more on a customer basis and geographies, so I’d have to dig into that a little bit, Ambrish.
Ambrish Srivastava - BMO Capital Markets: Okay. That’s fair, Jon. And then my follow up is on the 20 and 16, can you just walk us though what are the expectations that you guys have because ASML came out and gave some conflicting comments about the potential delays from the foundry camp? Thank you.
Moshe Gavrielov: Well, you need to look at the public statements made by TSMC this week, they are all out there, they have the technology symposium, they do it once a year. They expect to have more than double-digit tape-out actually in 16-nanometer by the end of this year. And clearly 20-nanometer for them is growing at a faster rate than even 28 was and 28 was probably the most successful node they have ever seen. So TSMC is doing extremely well on 28, 20 and will undoubtedly be doing very well on 16 FF and 16 FF plus. So I don’t know what the comments from ASML as they related to these current nodes but that clearly has, look at TSMC, they had a record year and they are projecting another significant growth year in calendar ‘14. So that highlights that at least the fabless companies TSMC has a majority of the fab business at advanced node doing really well.
Ambrish Srivastava - BMO Capital Markets: Really Moshe, there was. And as I said there is some conflicting remarks, so thanks for your perspective. Thank you sir.
Moshe Gavrielov: Sure, thank you.
Operator: Your next question is from the line of William Stein with SunTrust Robinson Humphrey. Your line is open.
William Stein - SunTrust Robinson Humphrey: Thanks for taking my question. Moshe, I am wondering if you can give us an idea for when we might expect to see revenue for 20-nanometer products and when for 16?
Moshe Gavrielov: So, if you look at our Analyst Day which is two months ago and it’s on the rear view, you can see that we showed that our current revenue at 28-nanometer is basically after to being 3 years in production and of course it was a very small number the first year, grew significantly second year and it has almost quadrupled the third year. And we would expect that same shaping happen of 20. And so it took about a year after the tape out to start to have any meaningful number on the revenue side and then it’s 2 years before it gets to -- overall it has an impact on our overall revenue and then third year is when it sees the biggest growth and that’s what you’ve seen. Now for us and if you look at the $140 million in the third year of production, that is just under 25% of our revenue. So that would be a good model and we think that model is likely to follow. 28 happened faster for us than previous nodes that is a good proxy. We’d expect 20 and 16 to have similar trends in terms of their converting to revenue, rate conversion to revenue.
William Stein - SunTrust Robinson Humphrey: That’s helpful. And then one follow-up if I can, Moshe at the Analyst Day, you were asked about the sizing of 20 and 16, your anticipated size of that node from a revenue perspective overall. And I think your comment was that your view was that 20 plus 16 was likely to equal what 28 looks like overall. And first, if you could confirm that that’s the view? And second, I’m wondering if you can talk about the last time that a new node wound up being smaller than the older node and if that’s changing in new and different, why that might be?
Moshe Gavrielov: Okay. So what you said, that reflects what we expect to happen. And the reason that it’s happened this way is 20 and 16 are coming out very close. And there are some companies, business, (inaudible) if they’re not early users then they just jump to the next node. And for us, because of the long design cycles and the long manufacturing cycle, those will co-exist, but because they’re really about 1.5 years apart, [lead tape out] and the expectation was nodes would come at a lot more leisurely pace than they have in the past which that hasn’t happened, we think that this will turnout the way that which we predicted, the two of them together will be as large as 28. And that’s just because we're so close together. I don’t expect future node to continue to come as fast furious as they have. If they do continue coming at this [cover], it’s great and obviously the ROI changes need to be make sure if you don't double the amount to achieve the same amount of revenues. And if you look at where we are, it’s not quite that [street] does that, but it is a big investment and it’s just due to the proximity of those to know nodes scheduled.
William Stein - SunTrust Robinson Humphrey: Thank you very much.
Moshe Gavrielov: Thank you.
Operator: Your next question is from the line of Jim Cavallo with Goldman Sachs. Your line is open.
Gabriela Borges - Goldman Sachs: Thanks for taking the question. This is Gabriella Borges on behalf of Jim. I wanted to follow up on some of commentary on [comps and construction] beyond China. Could you talk about how demand is turning into some of other geographies, maybe in the U.S. Europe and Latin America. And any color on why you’re expecting relative strength and/or weakness over the next couple of quarters, would be helpful as well? Thank you.
Moshe Gavrielov: Sure Gabriela. The strength, we have broader strength, as I commented in my remarks about that. We did have broader geographic shipments and we saw strength, both in Europe and the U.S. And U.S. is still LTE deployments going on, just to remind you that Sprint and T-Mobile are still in their scale of deployment in rapid deployment. We still believe that AT&T and Verizon are populating their existing base stations, they are not adding a new state base stations, I think Verizon is almost like at 95% or 98% covered where they had 3G already, but all the base stations are now fully [populated] for capacity reasons. So, again we see a very healthy business coming out of North America still it’s in our numbers and we do expect that will continue throughout this year. And we’re also seeing in Europe continued expansion of GSM technology while they are beginning to do some trials and start to kick off additional spending with respect to LTE. So Deutsche Telekom in addition to Vodafone Deutsche Telekom also really has increased their capital spend forecast for the year, as they start to begin to look at their deployment of 4G technology in Europe and their locations. So all in all very healthy wireless business on a worldwide basis.
Gabriela Borges - Goldman Sachs: That’s helpful, and thank you. And just as follow up on the weakness that you are seeing near term aerospace and defense, could you talk about how much of that maybe last time buy (inaudible) versus program timing over we can have some broader spending and also confidence with customers coming back later in the year? Thank you.
Moshe Gavrielov: Yeah, quite frankly most of our weakness is the guide of going down, I will talk more seasonal for us to someone is related to mainstream product that were in particular programs that were driven by our mainstream (inaudible) class of products more than it was anything to do with the historic older products that have gone off, again those will continue in a variability quarter-by-quarter throughout the year, but we actually had, see on a forward looking guide some normal seasonal patterns going on in the summer time and then in September and December quarters we expect increases in our space and defense again quite typically from a seasonal perspective. So as the government fiscal year ends, and the new year begins, we have typically seen dollars being flushed and new dollar new money coming in. We expect that same pattern to exist and we obviously have a number of programs identified where we believe those orders will be coming for us and we will ship against that.
Gabriela Borges - Goldman Sachs: That’s helpful, thanks very much.
Jon Olson: Thank you. Next question.
Operator: Your next question is from the line of Ian Ing with MKM Partners. Your line is open.
Ian Ing - MKM Partners: Yes, first of all a clarification on this China FTD rollout in the second half, is that specific to China Unicom and what’s the size of that deployment or it this more related to the China [5 mode] requirements for LTE going back and perhaps upgrading base stations.
Jon Olson: This is a China Telecom and I suspect some Unicom will start, but it’s really more China Telecom is the first leader on that in terms of the (inaudible). And so again we don’t we have, I would say estimated forecast from our customers about when that might ramp, but we really don’t have hard orders yet, so it’s hard to know exactly in what time period they are going to ramp, our best estimate is during the second half of the calendar year.
Ian Ing - MKM Partners: Great. And my follow up and you gave a top supplier award to TSMC one thing you talked about is continuous yield improvement spending, just want to get a sense of how much yield improvement, gross margin tailwind is left here in helping to offset mix? Thanks.
Jon Olson: Yes, sure. We are extremely happy with our overall yield improvement across all of our value partners, quite frankly it’s really been an additive thing over the last several years to us. And in TSMC which has clearly the largest scale we have been able to ramp down costs very, very rapidly. We still are not at the lowest levels we expect to attain there, we still have a reasonable way to go. There are variety of other, things factors associated with yield improvement that really isn’t just about just only about the fab, it’s also about our test capability and being able to target the highest volume of the right speed of products [on] wafer for which is more of a sort of and final test capability that maximizes or optimizes this against the demand we have for those faster or slower kinds of products. And we’ve made tremendous progress with our sort and test capabilities around isolating those kinds of capabilities in order to improve costs even more. So, it all was the wafer (inaudible) density is the biggest driver, there are many other things that we have on schedule that helps us reduce cost throughout the year. So we’re still, we still have a lot of cost reduction left, what I am trying to say.
Ian Ing - MKM Partners: Great. Thank you.
Operator: Your next question is from the line of Srini Pajjuri with CLSA Americas LLC. Your line is open.
Ryan Goodman - CLSA Americas LLC: Hey thanks for taking my question. This is Ryan Goodman in for Srini. Question on 20 nanometer, I know it’s still a bit early but you announced the products shipping in another one around the corner. So maybe could you talk a little bit about which markets you expect this to gain traction in first? And maybe just a bit of a balance between how much is new market expansion with further ASIC, ASSP displacement versus more migrating your leading edge emulating type business in 28 nanometers to 20 and then eventually 16?
Moshe Gavrielov: So we have two families in 20 nanometers, there is Kintex and Virtex we actually have the only high-end family and the expectation is that that is an expansion play, it’s largely for wired communications. The ASIC prototyping business, the high-end of middle arrow and generally the high-end of what our customers design, but it is an expansion play because the previous question was asked there, this enables us to affect ASIC and ASSP space. If you look at the Kintex product offering and we’re sampling that broadly that process has been out for since November, we have been sampling it since November, so it’s approaching six months I think at this point. That is [migrating] product which enables a cost reduction task and additional capabilities for the previous generation of Virtex products and it also enables an upgrade in regards to higher performance, the lower power to the previous generation of Kintex. So this enables both, and if you look at the previous generation of Kintex is very broad amongst other markets, for wireless market, but it actually addresses a lot of applications and that mid range market is the biggest, the fastest growing, the largest here, but it’s a fastest growing market and we expect it to continue growing at an accelerated break into address numerous markets, wireless being one, but that’s just one of several that use those Kintex devices.
Ryan Goodman - CLSA Americas LLC: Okay. Thank you. And then just a quick follow-on for Jon, just the inventory days I think you had mentioned reps to 115, it’s a bit higher than you’ve had in recent quarters and it sounds like you are looking to grow it again next quarter. Just can you help us understand what is the target range there, where are you comfortable on and how should that trend over the course of the year?
Jon Olson: No, we're fairly above our target in terms of where we like to run the business from a long-term perspective and the target is there as a measure of efficiency. But quite frankly, you have to react to the environment around you. And when we have such a strong growth pattern going on in our new product category like we do now and growing revenue so rapidly, we want to make sure that we have the supply chain ability to supply our customers. And with the variability of the ordering patterns particularly from the China LTE business, we wanted to put a substantial safety stock. And the good part or when you see inventory growing you might say there is warning sign there, but the good part of it is that’s all in our new product, which mean to us there is no risk of obsolescence here, this is a matter of trading our cash for in the return on cash for inventory to make sure we have, we’re well positioned. We’re far enough down on the defect density curve they are not buying expensive wafers and writing them off throughout the time period. So, this is kind of a no [brainer] from me and that making sure that we have that kind of capability. We do expect this to continue meaning inventory will get larger in June and probably get in September and then start to decline as we go through the next several quarters. So again, we are establishing a higher revenue point for the company, inventory dollars go up, the days are kind of fluctuating around based on where our revenue is. So, I actually look at the total dollars of our inventory more than just a day. And I'm pretty comfortable into that we're in, which is in the neighborhood of 240ish plus or minus $240 million plus or minus.
Moshe Gavrielov: And the other reason is that capacity is tightening up and so it [beholds] us to make sure that we can seize the moment as these opportunities come. And this is actually public information with regards to capacity at 28 and 20. Most of them are doing extremely well and having the backlog in place and having the wafers definitely helps us address the opportunities.
Rick Muscha: Next question please?
Operator: Your next question is from the line of Hans Mosesmann with Raymond James. Your line is open.
Hans Mosesmann - Raymond James: Thanks guys, congratulations. On the new product category, it seems that 40-nanometer was flat or down, is that the second quarter in a row that’s occurred? What’s happening there in terms of the guide for the rest of the year? Thanks.
Jon Olson: Yes Hans, I don’t think it was the second quarter in a row, I think we increased it in the previous quarter. So, it was down due to a couple of large customers who had taken products in the previous quarter and then was absorbing that inventory. We do expect new product category to grow next quarter and we expect it to grow both from 28 and 40-nanometer technology. So, the peak of that generation is likely sometime this year maybe later in the year in total. That’s what we can tell, although we still have a lot of very strong designs in the high-end of the business, the high volume part of our business; we expect it to continue to grow for at least in a year or two before a peak maybe even longer. Just to remind you that we’re the only one in the industry that has that generation has high volume product and has serial technology with it et cetera. So, we are pretty happy with how things are going with that generation as well.
Hans Mosesmann - Raymond James: Okay. And then as a follow up, can you guys provide the mix Kintex as a percentage of 28-nanometer?
Jon Olson: So now we are not providing that mix by technology, we did say it’s the largest contributor to our total revenue last quarter. So, it’s large but it isn’t 50%. Okay, they are buried on Virtex-7 and Artix, Zynq as well.
Hans Mosesmann - Raymond James: Thanks again.
Operator: Your next question is from the line of Joe Moore with Morgan Stanley & Company. Your line is open.
Joe Moore - Morgan Stanley & Company: Great, thank you. I wanted to explore just a little bit more the strong backlog kind of weaker turns, is that something, I mean are you seeing those weaker turns already or are you being, you sort of projecting that based on kind of the overall bookings trend that you have seen the lumpiness of the wireless business? And are you, is it possible with that conservatism in that number and the turns coming stronger or just how should we think about that?
Jon Olson: Yes, it’s again largely driven by these large wireless customers. We have seen this back in the 3G generation, the same kind of pattern. And so, I don’t really feel like we have got some sort of a sandbag number but again with the variability that goes on with the Chine LTE, there are all possibilities that things are turned out different than we say. The second part of this story, the early backlog was around these channel customers specifically focused around ISM business. We’ve done our best view at those customers where they are going to end up this quarter and that they just ordered earlier, the pattern was just a little earlier in the quarter than normally we would have seen things. So, it really isn’t I think we are fairly positioned with our zero to 4 growth number.
Joe Moore - Morgan Stanley & Company: Okay, great. Thank you. And then in terms of the industrial aerospace and defense, you described some inventory kind of build and depletion around that, what would have triggered a build? I think you had some patents on couple of products, was it about that or was it just more customer behavior over the last couple of quarters?
Jon Olson: Yes. The question on that or the answer on that is really around the ISM A&D was because the programs didn’t materialize as we thought and/or there were some slips going on the A&D side that won’t come back to still later in the year. But on the ISM side, it was a matter of leading out inventories. We’ve had, very healthy industrial sales over the last previous six quarters and there was a bit of an adjustment going on at a few customers that we had anticipated some larger orders from. And we’ve reconfirmed that they’re ordering again this quarter. So, I am not too concerned about that at this point.
Joe Moore - Morgan Stanley & Company: Great. Thank you very much.
Jon Olson: Sure, Joe. Next question?
Operator: Your next question is from the line of Ruben Roy with Piper Jaffray and Company. Your line is open.
Ruben Roy - Piper Jaffray & Company: Thank you. Jon, just quickly, have you seen any appreciable changes in lead times over the last couple of quarters, 28-nanometer? And a follow-up question just around the 28- nanometer product Virtex-7. I think Jon you talked about some of the -- there is the ramp going on and some of the design wins around wired and markets outside of communications. Are you seeing design activity for Virtex-7 into wireless as well? Thank you.
Jon Olson: Yes. So on the lead times on 28-nanometer, our lead times again with our inventory build, we don’t have any particular issue there, but as Moshe said, there is some general tightness going on in the 28 nanometer capacity. But if you look at our supply chain and backward to see if we have any lead issues, we really don’t have anything significant there from our perspective. So I think not just from a wafer perspective but also assembly test and packages and things like that substrates, we’re not seeing anything, I would say that’s really significant in terms of any individual lead time issues. With respect to the Virtex-7 ramp, I mean the applications are in the communication space are mostly on the wired side -- on the wireless side, we don’t sale that much Virtex-7 into that. We have some Virtex-6 parts and Virtex-5 parts that we sent there, that we still ship into the wireless business. But the big growth for us from wireless has been Kintex. The Virtex-7 growth for us has been round wired communication and the applications associated with the network interface cards and 40, 100, 400 gig kind of connectivity capability. That’s where we’re seeing the biggest single growth area. And then also on the solid state disc arrays for data center is both Virtex class products and in some cases Kintex.
Ruben Roy - Piper Jaffray & Company: Great. Thanks, Jon.
Jon Olson: Sure Ruben. Next question?
Operator: Your next question is from the line of John Vinh with Pacific Crest Securities. Your line is open.
John Vinh - Pacific Crest Securities: My question, as we roll into FDD deployments in the second half, can you talk about, are there any sort of differences in your competitive position on FDD-LTE versus TD-LTE? And also, are there also any sort of differences in content, (inaudible) content between of FDD and TD for you?
Jon Olson: John, the FDD side, there is slightly more content for us on that but I wouldn’t say it’s like a 50% more or anything near that, there was slightly more contain on FDD. And from a competitive perspective, I would say most of the FDD is related to 28-nanometer. And as we have said before, we have an extremely strong design win percentage at 28-nanometer. So, I would say there is no appreciable difference on the competitive environment for us. So maybe a little more dollar content and no appreciable competitive difference.
John Vinh - Pacific Crest Securities: Great. Thank you.
Jon Olson: There is last question now or...
Rick Muscha: Yes, we’ll take our last question. Yes.
Operator: There are no further questions at this time. I’ll turn the call back over Mr. Rick Muscha for any closing remarks.
Rick Muscha: Great. Thanks for joining us today. We have a playback of this call beginning at 5 pm Pacific Time, 8 pm Eastern Time today. For a copy of our earnings release, please visit our IR website. Our next earnings release date for the first quarter of fiscal year ‘15 will be Tuesday, July 22, after the market close. This quarter, we will be presenting at the Baird Growth Stock Conference in Chicago on May 6 and the JP Morgan Annual Technology Media and Telecom Conference on May 20 in Boston. This completes our call. Thank you very much for your participation.